Operator: Good day, ladies and gentlemen, and welcome to Universal Display Corporation's First Quarter 2024 Earnings Conference Call. My name is Sherry, and I will be your conference moderator for today's call. [Operator Instructions] As a reminder, this conference is being recorded for replay purposes. 
 I would now like to turn the conference over to Darice Liu, Senior Director of Investor Relations. Please proceed. 
Darice Liu: Thank you, and good afternoon, everyone. Welcome to Universal Display's First Quarter Earnings Conference Call. Joining me on the call today are Steve Abramson, President and Chief Executive Officer; and Brian Millard, Vice President and Chief Financial Officer. 
 Before Steve begins, let me remind you that today's call is a property of Universal Display. Any redistribution, retransmission or rebroadcast of any portion of this call in any form without the expressed written consent of Universal Display is strictly prohibited. 
 Further, this call is being webcast live and will be made available for a period of time on Universal Display's website. This call contains time-sensitive information that is accurate only as of the date of the live webcast of this call, May 2, 2024. 
 During this call, we may make forward-looking statements based on current expectations. These statements are subject to a number of significant risks and uncertainties, and our actual results may differ materially. These risks and uncertainties are discussed in the company's periodic reports filed with the SEC and should be referenced by anyone considering making any investments in the company's securities. Universal Display disclaims any obligation to update any of these statements. Now I would like to turn the call over to Steve Abramson. 
Steven V. Abramson: Thanks, Darice, and welcome to everyone on today's call. We are pleased to report strong results for our first quarter of 2024. Revenue was $165 million. Operating profit was $63 million and net income was $57 million or $1.19 per diluted share. With a strong start to the year and OLED momentum continuing to build, we are raising the low end of our annual guidance range. We now believe that our 2024 revenues will be in the range of $635 million to $675 million. As we look to the industry, OLEDs continue to play a more significant role in shaping the future of displays. [indiscernible] segment that is poised for significant growth in the OLED IT market. Since the beginning of the year, several device makers announced new OLED IT products, including ASUS, HP, Acer, Dell, Razor Blade and MSI, and there are a number of expected new product introductions on the horizon. 
 According to Omdia market research, OLED tablets are expected to increase by more than threefold year-over-year, growing from 3.7 million units in 2023 to 12.1 million units in '24. 
 The market researcher also forecast that OLED notebook units will grow 50% year-over-year from 3.4 million units in '23 to 5.1 million units in '24. This translates into total mobile OLED PC units growing from 7.1 million units in '23 to 17.2 million units in 2024 and is expected to reach 72.3 million units by 2028, which represents just 14% of the total mobile PC display market. 
 Supporting this strong growth is new OLED capacity. In early March, Samsung Display held a ceremony for the commencement of construction of the world's first Gen 8.6 OLED IT production line in Asan. According to reports, Samsung plans to begin equipment installation this year and start mass production in 2026. The 15,000 plates per month OLED IT line is estimated to be capable of producing an equivalent of 10 million laptop panels per year. Also held in March was BOE's groundbreaking ceremony for its Gen 8.6 OLED IT fab in Chengdu. This greenfield fab is designed for 32,000 plates per month and is expected to begin production in the fourth quarter of 2026. 
 With reports that other panel makers are preparing for new investments as well, we believe that this is just the beginning of a multiyear OLED CapEx growth cycle. And many benefits of OLEDs continue to fuel the continued penetration in the smartphone market. 
 DSCC Market Research expects OLED smartphone units to increase by 11% year-over-year in '24, with flexible OLED increasing 9% year-over-year and rigid OLEDs increasing 17% year-over-year. 
 The innovative designs, coupled with the versatility and convenience of foldable smartphones and tablets continue to garner significant interest from OEMs, panel makers and consumers. UBI Research forecasts of foldable OLED shipments will grow 25% year-over-year to 27.4 million units in 2024 and almost double by 2028 reaching 52.7 million units. The popularity of conformable, foldable and rollable OLEDs was evident at Mobile World Congress. At the show, fans of foldable technology could see how OLEDs are enabling innovative devices, including displays that could be folded both in and out, rollable panels that can wrap around your wrist as well as rollout from a smartphone display into a tablet and foldable and slidable IT products that extend the screen size. 
 OLED TVs are also expected to grow this year. According to Omdia, OLED TV shipments will increase by more than 30% year-over-year from 5.3 million units in 2023 to 7.2 million units this year. 
 Another segment of the OLED market that is beginning to take off is aviation. Last month, Panasonic Avionics announced that it shipped the first batch of its Astrova  4K OLED in-flight entertainment monitors. These monitors will be installed in one of Iceland Air's forthcoming Airbus aircraft beginning in the fourth quarter of this year. Qantas, United Airlines, Egyptair, Saudi Arabia Airlines and Qatar Airways are also planning to adopt Panasonic's new 4K OLED screens. According to Panasonic Avionics, the image quality of the 4K OLED is sharper, clearer and with infinite contrast ratio, it delivers a similar quality image and perfect black. Panasonic also notes that it provides a better viewing experience that has ever been available before on the commercial aircraft. We are excited for the extraordinary opportunities in enabling the OLED products of today and the future. 
 As we look to our company, innovation has been the cornerstone of our ethos. It is the engine that reinforces our leadership position, expands our reach and propels us forward. 
 Our commitment to innovation is steadfast. Our R&D teams are continuously inventing, designing, developing and commercializing next-generation reds, greens, yellows and hosts to meet the ever-changing and ever-evolving customer specifications. 
 Regarding blue, we continue to make excellent progress in our ongoing development work for a commercial phosphorescent blue emissive system. We continue to believe that we are on track to introduce a phosphorescent blue that meets commercial specifications into the market in 2024. 
 We believe that the expansion of our phosphorescent portfolio that includes red, green and blue phosphorus emissive materials will unlock a vast array of opportunities for higher energy efficiency and higher performance across a broad range of OLED applications. 
 Regarding OVJP, we continue to make advancements with our organic vapor jet printing manufacturing technology for direct printing OLED TVs without the need for masks or solvents. The OVJP team continues to focus on scaling our novel technology platform. This year's SID display week is less than 2 weeks away. To learn more about UDC, please visit our booth at San Jose. 
 On that note, let me turn the call over to Brian. 
Brian Millard: Thank you, Steve. And again, thank you, everyone, for joining our call today. Our first quarter results were strong across the board. Revenue was $165 million, up 27% year-over-year from $130 million in the first quarter of 2023. Our total material sales were $93 million in the first quarter compared to material sales of $70 million in the first quarter of 2023. Green emitter sales, which include our yellow green emitters, were $71 million. This compares to $54 million in the first quarter of 2023. The Red emitter sales were $21 million. This compares to $16 million in the prior year's quarter. As we have discussed in the past, material buying patterns can vary quarter-to-quarter. First quarter royalty and license fees were $68 million compared to the prior year's period of $55 million. Adesis' first quarter revenue was $3.7 million, compared to $5.1 million in the first quarter of 2023. 
 First quarter cost of sales was $37 million, translating into total gross margins of 78%. This compares to $33 million and total gross margins of 75% in the first quarter of 2023. As you may recall, last year's first quarter gross margins were negatively impacted by a $3.3 million inventory provision. We did not increase our inventory reserve this quarter. 
 First quarter operating expenses, excluding cost of sales were $65 million. In the first quarter of 2023, it was $52 million. The year-over-year increase was due to increased employee expenses, higher amortization costs and a onetime royalty and license expense. 
 We continue to expect 2024 OpEx to increase 10% to 15% year-over-year as we continue to invest in our people, our global infrastructure and our innovation engine. Operating income was $63 million in the first quarter, translating into operating margin of 38%. This compares to the prior year period of $45 million and operating margin of 35%. 
 The income tax rate was 19% in the first quarter of 2024. We expect our effective tax rate for the year to be approximately 20%. First quarter 2024 net income increased by more than 40% year-over-year to $57 million or $1.19 per diluted share. This compares to $40 million or $0.83 per diluted share in the comparable period in 2023. We ended the quarter with approximately $838 million in cash, cash equivalents and investments. 
 Regarding guidance, as Steve shared, we now believe our 2024 revenues will be in the range of $635 million to $675 million. And lastly, our Board of Directors approved a $0.40 quarterly dividend, which will be paid on June 28, 2024, to stockholders of record as of the close of business on June 14, 2024. The dividend reflects our expected continued positive cash flow generation and commitment to return capital to our shareholders. 
 With that, I'll turn the call back to Steve. 
Steven V. Abramson: Thanks, Brian. As we approach UDC's 30th anniversary next month, I am filled with immense pride in what we have achieved together. Our incredible journey has been marked by relentless innovation, exponential growth and the materialization of products that were once distant dreams. We have developed and fostered a culture where creativity thrives and where every challenge is seen as an opportunity from the invention of phosphorus in OLED technology to the continuous discovery, development and delivery of next-generation OLED materials and technologies. We remain at the forefront of driving efficiency, enhancing performance and enabling the OLED industry. 
 As we cast our gate forward to the exciting horizon of possibilities that await us in the growing OLED market, we will continue to be trailblazers, collaborative partners and committed to excellence. 
 In closing, I would like to thank each of our employees for their drive, desire, dedication and heart in elevating and shaping Universal Display's accomplishments and advancements. We are committed to being a leader in the OLED ecosystem, achieving superior long-term growth and delivering cutting-edge technologies and materials for the industry, for our customers and for our shareholders. 
 And with that, operator, let's start the Q&A. 
Operator: [Operator Instructions] Our first question is from Krish Sankar with TD Cowen. 
Hadi Orabi: This is Eddy for Krish. Congrats on strong results. I'd like to ask a high-level question on blue. I think in the past, you mentioned that blue content inside an OLED phone can be as much as the green content. So if I look at revenues you made last year, like $245 million coming from green sales alone. So my first question is, can blue be as big as green in terms of overall revenue opportunity? And if so, how should we expect the ramp from 2024 going forward to be like, is it like hockey stick kind of ramp where we may see blue generating a few million a quarter and then it can go up, call it, like $40 million, $50 million? Or would it be more gradual over the next 2 to 3 years? And I have a follow-up, please. 
Brian Millard: Yes. Thanks, Eddy. This is Brian here. So good questions. As you said, yes, we've previously said and still is true that the quantity of green material in a display, a red, green and blue side-by-side display is similar to the quantity of blue. To answer your question in terms of the revenue potential, there's a couple of things to pull apart there. One is the green number that we disclosed includes our yellow green emitters as well as the fact that we don't currently have blue pricing set with any of our customers. So we need to see how that evolves over time.
 And in terms of the adoption curve, we know there's significant interest in our blue across the customer base and in the market more broadly. So we think that there certainly will be adoption over time. It's really up to our customers, though, to determine exactly how that plays out and on what time line. 
Hadi Orabi: Got it. That's helpful. And I guess, in terms of pricing, the pricing will eventually be based on the value you guys had with the blue product. Can you talk about like what has been the customer feedback so far in terms of like lowering power consumption or whether it's something else, when using the blue you guys have been shipping so far? . 
Brian Millard: Yes. So the benefits of phosphorescent technology over fluorescent or this -- or also apply to blue in addition to the red and green material that we have. So it is more energy efficient. 
 We've estimated that there's probably a roughly 25% increase in energy efficiency of a display by adding blue material to it. And so we've been sampling material to customers. We had $1.9 million of development sales in Q1. And so that continues to move in a positive direction, and we expect 2024 blue development sales to be up compared to the development sales we had last year. So we continue to make the right progress that we need on the development. And as Steve said, continue to feel like we're on track for hitting commercial specs this year. 
Hadi Orabi: Congrats again. 
Operator: Our next question is from Brian Lee with Goldman Sachs. 
Brian Lee: I guess starting off probably for Brian here. Can you give us a sense of seasonality this year. I know last quarter, you sort of alluded to it when you gave the full year guide. Obviously, you're starting off Q1 on a very strong note. Everyone knows the iPad launch being a first half product cycle that you haven't historically been levered to is probably a big tailwind here for 1Q. But does this fall off in 2Q sequentially? Because if we take Q1 and assume no growth for the rest of the year, you're basically already above the midpoint of your annual guidance. So just trying to get a sense for what the Q1 result here implies for rest of your seasonality? And then I had a follow-up or 2. 
Brian Millard: Yes. Thanks, Brian. Yes. So typically, we've had, as you know, more of a second half orientation to revenues in prior years. And this year, based on what we know at this point, it seems like it's going to be pretty balanced between the first and second half of the year. So that's based on our current forecast and of what we know at this time. 
Brian Lee: Okay. So typically, the second half has some meaningful growth versus the first half this year, you're base casing more of a second half being equal to the first half. Is that the right conclusion from your comments? 
Brian Millard: That's right. Yes. 
Brian Lee: Okay. That's helpful. And then just a question on your biggest customer here. They were a higher revenue contribution  and this is also the most we've ever seen in Q1 from them. Again, kind of in line with the abnormal seasonality here. How much of this, if you can give us a sense is coming from them having any new capacity, how much of this is being helped by maybe yield issues that are driving more material demand for you? And then can you remind us, is there a tandem structure effect tier tailwind for that customer in particular? Or is that only for your second [ Korean ] customer that, that applies. 
Brian Millard: Yes. So in terms of -- we obviously can't comment on any customer production in that sense. Obviously, there were more material sales to that customer in Q1, and that's what drove the increase and therefore the revenues. And some of the newer products that are coming to market, especially on the IT side, do have tandem in place. So that's about as much that we can comment on. 
Operator: [Operator Instructions] Our next question is from Jim Ricchiuti with Needham & Company. 
Chris Grenga: This is Chris Grenga on for Jim. There is a R&D expense stepped up a bit on a sequential basis and year-over-year. Just curious if you could provide any additional color on that? 
Brian Millard: Sure. Chris, in Q1, we did see an increase. We're continuing to invest in inventing new materials. So I think that has an increase. There were also some higher employee costs affected in both R&D and SG&A compared to prior periods. So it's really a combination of employee-related expenses as well as some higher development expenses that we had with outside parties. 
Operator: Thank you.  We have reached the end of our question-and-answer session. I would like to turn the call back over to Brian Millard for any additional or closing remarks. 
Brian Millard: Thank you all for joining our call today. We appreciate your time and support. 
Operator: This concludes our conference call today. You may now disconnect.